Operator: Good day, and welcome to the Q3 2014 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Harry Vafias, President and CEO of StealthGas. Please go ahead, sir. 
Harry Vafias: Thank you, and good morning, everyone. Welcome to our conference call and webcast to discuss the results for the third quarter '14. I'm Harry Vafias, CEO of StealthGas. 
 I would like to remind you that we'll be discussing forward-looking statements in today's call and presentation. Regarding the Safe Harbor language, I would like to refer you to Slide #1 of this presentation as well as to our press release on our third quarter results. With me today is Mr. Papantonopoulos. And if you need any further information on the conference call or the presentation, please contact Stavros or myself.
 Let me begin by saying this has been a very busy period for us as always. In this quarter, we took delivery of 3 of our newbuilding eco vessels, the Eco Invictus, Eco Corsair and Eco Elysium, and we increased our newbuilding order book by 4 larger semi-refrigerated 22,000 cubic meter LPG vessels, bringing the total number of eco LPG vessels under construction remaining to be acquired to 16 in total. These larger vessels are capable of carrying a wider variety of LPG gases for longer distances than our typical ships. 
 Overall, I'm not very pleased with our performance this quarter. We produced healthy profits, but showed a reduction in our net income. The majority of the modern vessels produced revenues in line with our expectations. However, lower shipping requirements in Europe, combined with numerous refinery closures in the Far East for maintenance or upgrades, were announced. And on top of this, warmer weather in the areas we operate brought rates for the quarter, indeed, weaker than we anticipated.
 Early in the quarter, we announced the charter of 3 of our newbuilding vessels for 7-year contracts and the employment of 5 of our vessels for 1-year contracts to international trading houses. Performance this quarter was mainly affected because of the older vessels in our fleet that were trading in the spot market faced increased idle days and lower spot rates. However, taking advantage of these days, we performed concentrated maintenance routine operations that drove our costs higher, but improved the condition and performance of these ships.
 Let's begin with Slide #2. As you can see, we are the leading company in the LPG small class segment. We own 43 LPG ships and 4 tankers, and with the additional vessels to be added to the fleet, we intend to solidify this position and gain market share by capturing about 1/4 of the global pressurized market. Due to the increased interest in our sector, we have seen some consolidations lately and that brings our second-largest nongovernmental competitor to about half our size. While overall, the sector is dominated by a handful of players that are looking for further opportunities to gain market share.
 We continue to focus on a young fleet that will give us operational and commercial advantages. While the current average age of our fleet is 10.7 years, below the industry average, we aim to lower it to 9.1 years after the majority of the newbuildings delivered by '16 without, of course, calculating the potential exit of some of our older ships.
 We continue to keep moderate leverage of only 36% and intend to finance the new vessels at level around 60% to 65% loaned [ph]. We continue to maintain the conservative chartering strategy that has made this company so successful in securing a visible revenue stream with a predictable cash flow whenever it's profitable to do so. At the moment, fixed employment for our fleet stands at 85% already fixed for this year, 60% for '15 and about 30% for '16, with an increasing number of charters extending until 2022. 
 Finally, I believe we continue to manage these vessels more efficiently than any other public or private competitor, and that by growing our fleet, we'll be able to take advantage of additional economies of scale. Our net income breakeven level per day per ship for the third quarter was $6,400, which puts us comfortably into profit-making territory. In addition, modern eco ships from the top yards worldwide can achieve significant savings in operating expenses and fuel consumption.
 Slide 3. This slide demonstrates our fleet employment profile and provides you with the earnings visibility for our fleet. In terms of charter types, out of the fleet of 47 ships, we have 14 on bareboats, 28 on time charters and 5 in the spot market. What we did experience in the current period is a 2-tier market whereby the demand for modern ships is healthy, albeit at slightly lower levels than last year, whereas there was a slackening of demand for older tonnage. We had a few older vessels in the spot market and we got mixed results with some showing steady performance, while a couple of others facing increased idle time. This is also typical of the season and we hope that the market for older vessels will improve during winter as has happened the previous years.
 The company's policy is to [indiscernible]. We have seen a concentration of interest on the VLGCs to carry large LPG cargoes on long-haul trades. However, this has obscured the fact that there'll be also a need for a bigger fleet of small gas ships to serve those customers in the regional markets, final destinations like the Caribbean, Latin America, Atlantic Basin, Europe and the Far East. While the U.S. is still a developing story, we believe that our fleet could benefit from increasing product supply, especially if the markets at the time are already tight. We have now increased the number of vessels operating the Latin America, U.S. Gulf region by 60% compared to the same period of last year, and about 20% of our fleet now trades in this area. We see this as a positive development since the vessels trading at these regions earn higher day rates compared to other trading regions, albeit though with higher costs.
 I'll now hand you to Mr. Papantonopoulos for some brief comments on our quarter results, our financial position, and later, we'll discuss the markets and the industry outlook. 
Stavros Papantonopoulos: Thank you, Harry. Good morning, everyone. So let me continue the presentation with Slide #7, the financial highlights for the third quarter of 2014.  With an average of 44.4 vessels owned and operated in the third quarter compared to 40.6 last year, our revenues came in at $31.2 million, higher than last year's $29.7 million. This increase was primarily due to the increased number of vessels in our fleet. 
 Our voyage costs increased by $1.1 million to $4 million because we had more vessels on the spot charters in 2014 period. Our running costs increased to $12.3 million from $9.9 million last year. This was primarily the result of the increase in the number of vessels operating under time charters in the 2014 period, including 2 vessels that were added to the fleet and 2 vessels that came off their boat charters to enter the time charters. Other factors that contributed to the increase in operating expenses were some cost overruns for some of the older vessels in our fleet and the larger portion of our fleet trading in the Latin America/Caribbean area compared to the 2013 period, where operations are more demanding and more costly. We did not have any vessels drydocked during the quarter. Management and G&A costs were at similar levels to last year. There was an expected $0.7 million increase in depreciation costs due to the increased fleet size. Interest and finance costs were $2.4 million compared to $1.9 million for the same period last year and an increase of 26%. The increase in interest and finance costs was mainly due to the increase in commitment fees relating to the future loans we procured for the vessels that are currently under construction. 
 Our net income for the quarter was $1.6 million compared to net income of $4.1 million last year. Compared to the same quarter last year, the average number of shares outstanding increased by 30% to 41.8 million shares from 32.1 million shares due to the offering of total of 11.4 million shares in February, May and August 2014. Earnings per share for the third quarter of 2014 amounted to $0.04 compared to $0.13 for the third quarter of 2013. 
 Looking at Slide #8, our balance sheets. We can see significant changes from last year's, mostly due to the net proceeds received from the following offerings. As of September 30, we maintained a healthy cash balance of $131 million, including restricted cash, compared to $92 million at the end of 2013. As of September 30, we had $86 million in advances for vessels under construction for 16 new eco vessels delivering by 2017 and $753 million in vessels book values. Our total assets, therefore, during the 9-month period increased from $851 million to $982 million at the end of the quarter.
 In terms of liabilities, the current portion of our long-term debt that these loan repayments are scheduled over the next 12 months marginally increased to $45.1 million from $41.2 million at the end of last year. During the 9 months ended September 30, 2014, we have paid about $32 million of debt so that our long-term debt stayed constant at $311 million. Our total debt as of September 30 was $356 million versus the $353 million at the end of last year. 
 In the third quarter, we took delivery of 3 newbuildings that will be financed in the fourth quarter 2014, adding approximately $34 million of debt. We will continue to maintain a moderate leverage over the next couple of years. By the end of 2014, when the post-delivery drawdown will have taken place, we expect to have total debt about $380 million. And by the end of 2017, when all 16 of our LPG contracted vessels will have been delivered, we project to keep debt below $0.5 billion. 
 Regarding the 16 eco LPG vessels remaining to be delivered, I am pleased to say that we have seen a lot of interest from our existing lenders and new ones to finance them. The levels we have agreed are 60% to 65% LTV. We have already committed 12 out of the 16, but for the 4 larger vessels that deliver in 2017, we consider it's too early to commit them 2 years ahead of their deliveries. 
 Please turn to Slide #9. These are the operating highlights for the third quarter of 2014. In terms of fleet data, our fleet consists today of 47 vessels. We had an average of 44.4 vessels in the first quarter of 2014 compared to 40.6 vessels for the same period of last year. The total number of voyage days increased to 4,062 from 3,665 last year. From the 4,062 voyage days for the fleet in the third quarter 2014, 765 were spot market days, so we had a considerable increase in the number of spot days compared to last year. 
 In terms of operational utilization rates, 88.6% increased from 87% last year and that was mainly because we did not have any drydockings this year. In terms of average daily results, our average time charter equivalent rates was $8,330 per day compared to $8,817 per day for the same period of last year. The 6% decrease in the time charter equivalent rates achieved was again because we had a higher number of vessels operating in the seasonally weak summer spot market.
 What was really prevalent in the summer period is a 2-tier market whereby the demand for modern vessels is steady, whereas there was a slackening of demand for older tonnage. To illustrate this point were 2 lines to show average charter rates for our vessels under and over 17 years of age. In this case, for the third quarter of this and last year, a younger portion of the fleet earned almost double the rate compared to their older portion. Since we had around 8 of our older vessels operating in the spot market for certain times during the third quarter, our overall picture was affected.  The third newbuilding vessels -- the 3 newbuilding vessels we took delivery during the quarter came in the fleet late in September and their contribution was minimal. 
 Our daily operating expenses increased to $4,689 per vessel per day compared to $4,321 per day -- vessels per day for the same period last year. Our total vessels' operating expenses was $4,828 per vessel per day compared to $4,496 per vessel per day last year, a 7% increase that is mainly due to the older vessels we operate in our fleet, and the vessels deployed in the Latin American region were running costs that are considerably higher. We are increasing our efforts to contain any increases in the operating expenses. Even though the market was soft, we still operate comfortably above breakeven levels in terms of income and cash flows. 
 I will now hand you to Harry Vafias, who will now discuss the markets and industry outlook. 
Harry Vafias: Slide #10. This is an important slide as it shows what differentiates our LPG subsegment from the other LPG sizes. We can see how the picture changes favorably in the smaller LPG segment where the order book is relatively much smaller to the existing fleet. The small class segment, as defined by 1,000 to 13,000 cubic meter LPG order book that is highlighted in this bar chart, is circa 9% to the existing fleet and the majority of it is contracted by StealthGas, which is the biggest player in this market. Additionally, in the adjacent pie chart, we see the age distribution of the small LPG fleet. A key characteristic in the fleet distribution is that older ships are a significant part of the total tonnage. A lot of these older vessels cannot compete for employment with our newer fleet as they do not meet the appropriate vetting requirements and many charters are reluctant to fix on period ships over 18 years of age. About 25% of the fleet is older than 25 years of age and 17% of the fleet is older than 31 years of age. So there's a substantial amount of scrapping capacity in the event of a prolonged period of weak rates. 
 Slide 11. What we can say about the LPG market that we operate in, in comparison to other shipping segments is that it has a small day rate volatility and very few serious pure-play established companies. Rates do not fluctuate widely and that gives downside protection. Historically, rates range between $7,000 per day during the bottom of the market and $13,000 per day during the peak. Another positive characteristic is that when the markets are becoming hot, we do not expect to rush in new orders from speculative players since Japanese yards that build those ships are now full until early 2017, and the Chinese yards that have ample capacity simply prefer not to build these ships mainly because of design complexities and small profit margins.
 Slide 12. In this slide, we are showing our remaining newbuilding program, the sizes of the ships we're ordering and their capital requirements. We now count 47 vessels in our fleet, including our tankers. 10 more newbuildings will be joining the fleet in '15, and by the end of the program, we'll be adding another 6 ships, reaching a total of 63 vessels, 59 of which are LPG ships. This means $450 million in capital expenditures of which $85 million has already been paid. That leaves approximately $365 million to be paid, of which $150 million is earmarked for '15, $40 million for '16 and $175 million in '17. 
 Out of this $365 million in total remaining CapEx, we expect to see finance proceeds of about $310 million so we are left with only about $55 million of remaining equity. We already have committed finance for 12 out of the 16 vessels. And as you can see, with a cash balance of over $160 million, including the net proceeds from the 3 ships we just took delivery of, we can comfortably meet these requirements, and in fact, we can look for additional acquisitions if we want to. Lately, we have ordered semi-ref ships that are more versatile than pressurized ships as they can cool cargo down to minus 48 degrees Celsius and so they can carry a bigger variety of gases and add more commercial versatility to our fleet. 
 Slide 13. When large U.S. -- large-scale U.S. projects materialize, gas export is expected to significantly increase. We cannot predict the exact development of the future spot and time charter rates, but we can present different scenarios with the following sensitivity tables. This slide demonstrates our fleet development over time, how our company results are affected when the time charter rates increase. 
 2016 will be the first full year that we'll operate with a fleet of 59 vessels, including newbuildings on order. In this year, our company's EBITDA results can potentially grow to $150 million, if the average daily time charter rates increase to our medium-case scenario. On the other hand, if we are conservative and we use an $8,000 time charter scenario, we'll be generating about $66 million of EBITDA.
 This table excludes the 4 largest semi-ref ships that are on order and expect their deliveries by 2017. These vessels have comparatively a much bigger earning power because of the larger size and flexibly in the gases they carry. They currently earn about $1 million a month, and if rates remain at similar levels in 2017, they could contribute a further $35 million of EBITDA annually. 
 Slide 14. I would like to conclude this presentation by saying that we remain optimistic about the core strategy of our company, but as all of you know, no one can predict the future day rates. So what we'll be doing is fixing ships on short- and medium-term profitable charters, keeping our costs lower than our competitors, maintaining our G&A costs lower than our competitors, maintaining our tech management fees lower than our competitors, and this, coupled with the fact that we have lower average cost of debt than our competitors, makes our leading position difficult to beat. 
 Expectations on the LPG market and its future evolution has drawn the attention of significant investor interest. While we offer an attractive pricing, trading at a big discount to our peers, we still offer one of the best ways to take advantage of the future expected growth in the LPG market with our fast-expanding, quality-focused newbuilding program. Since my family and I have co-invested side-by-side with our shareholders and banks StealthGas shares in the last 2 offerings, it shows that we are optimistic about the next 2 to 3 years, and with the largest and highest-quality LPG fleet worldwide, a clean balance sheet and lots of liquidity, we look forward to the future. 
 We have now reached the end of our presentation. We like to open the floor for your questions. So operator, please open the floor. Thank you. 
Operator: [Operator Instructions] We will now take our first question from Jon Chappell from Evercore. 
Jonathan Chappell: I want to address the seasonality issue first. If we go back from the last several years, there certainly is a dip in the third quarter versus the second quarter but not to the magnitude that we saw this year. Were there any extraordinary events that happened in the third quarter of 2014 relative to prior years? And also, now that we're 7 weeks into the fourth quarter, have you seen an uptick, and a significant one at that, in the market environment? 
Harry Vafias: Yes. One by one. Firstly, if you see the last 2, 3 years, you will see that always our Q2 and Q3 was significantly softer than Q4 and Q1 except in the cases where the majority of the fleet was on period, and therefore, seasonality didn't bite because we didn't have ships in the spot market. Speaking specifically about this summer and this Q3, I would say that, yes, the rates were lower. Not much, but lower than last Q3, not Q2, last Q3. With Q2, we're fairly similar. But we had more ships in the spot market as we said. And our older ships, do not forget, become even older, thus more difficult to fix in a soft rate environment. Going to your last question about Q4. Being in Greece, I have to tell you that even if we are nearly in December, the weather here is at least between 20 and 23 degrees Celsius, which means that, unfortunately, the weather is hot. And we have not seen an uptick in rates. So if that continues until Christmas, then we will have to consider Q4 to be fairly similar to Q3. 
Jonathan Chappell: Okay. And then there's a lot of blame being placed on the older ships and there's that one table that shows that the older ships had half the rate as the more modern ones. You also, when you're talking about the industry, mentioned how the -- there's a lot of scrapping potential with the older ships in the fleet. Are you thinking about disposing your older ships? And I know I've asked this before in the past, but it seems that they're quite a significant drag on your company-specific results and also could potentially help the industry by removing some of your older assets. 
Harry Vafias: Yes, good question. As you see, there are a lot of older vessels in the industry. So unfortunately, even if I scrap all my old ships, which are about -- not change the industry fundamentals. If, however, everybody follows an example and scrap a portion of their older fleet, then yes, I think there will be a positive development. Speaking about ourselves, the majority of our older ships are debt-free. So for the remaining years, they were making a profit overall. They might be losing money in the summer, but, overall, they were making money. And we are glad to say that even today, some of our 23- or 24-year-old ships are on period, which shows that we have quite a strong commercial department to be able to find period for such old ladies. But as you said correctly, in the end of the day, money talks. And if we see that by the end of the year, they do not make any profit and they do not add to the bottom line, and especially those that have special surveys coming, then we'll try and sell. And also, of course, if we don't find a trading buyer, they will have to go for demolition. 
Jonathan Chappell: Okay. Last question, if I can just combine 2 thoughts from Slides 12 and 14. So on 12, you only have $55 million of equity payments left, but as you mentioned, $160 million of cash. But you talked about potentially buying more ships. In this environment and then given these discounts that you're showing on Slide 14, have you thought at all about buying back stock? Or what else do you think you can do to help narrow the significant discount that only seems to be widening every quarter? 
Harry Vafias: Yes, very good question. Yes, indeed. At this point, it's better off obviously buying stock at 45% discount to NAV than new ships at NAV. So I agree with you 100%. The only question that we've discussed with the board extensively is that a lot of big funds that love the company and love the balance sheet and love the, obviously, amazing pricing that they can buy the stock at is the liquidity of the shares. And obviously, by buying back stock, we are hindering that effort. However, we have the discussion with the board, and if that situation continues, we will have to go and take approval for a stock buyback. So we are basically on the same page. 
Operator: We will now take our next question from Michael Webber from Wells Fargo. 
Michael Webber: I wanted to first touch on the Handy Size acquisition you guys made earlier in the quarter and your thoughts around entering that market and where you think your share could eventually go. I mean, obviously, when you get down to the smaller-sized LPG carriers here, you've got some pretty dominant players in either market. You guys are dominant in your market and there are some larger players in that market. Just trying to think strategically how you think about that entry and where you want to take that. 
Harry Vafias: Yes. Actually, Michael, the answer is we don't know because we don't have the ships yet. We don't know what the market is going to be in 2017. We don't know what profits these ships are going to generate. At the moment, of course, they look very rosy. That's why we did it. We went to the best yard in the world. We said, which is the best yard in the world for these 22k ships? They told us Hyundai. We went to Hyundai. We ordered 4 ships of the highest specification that cost a lot of money, as you know very well. We have no immediate plans to add more unless something crazy happens in the market, so we will stick to what we have. We will be the only company that can offer short-haul and medium-haul transportation of gas to the same customers. So if somebody wants to transport gas from the States to Europe on such a sized ship and then distribute it locally, they won't have anymore to go to 2, 3 different players. They can come to us and we can do the whole door-to-door transportation with our brand-new ships. And on top of that, we believe that these lower costs that we have can easily be translated into lower costs for this 22k ships as well, so we have a small advantage against our competitors. The short-term goal is to stick to what we have. But obviously, speaking 2, 3 years later, we obviously cannot predict how many of these ships we're going to have. We hope that we are -- we remain focused on our core segment, which is the small class segment. 
Michael Webber: Got you, okay. That makes sense. Just to follow up on Jon's questions around the older assets and it does seem like those kind of catch a significant amount of the blame for the results. And when -- you talked about potentially scrapping those, and in every market, it's -- the same dynamics apply, right, where it's better if everyone goes out and scraps their older assets. But when it comes down to actual per-asset economics, it's not in anyone's favor and then just generally never happens. But when you look at your fleet and you look at the 6, 7 assets that are up there in age, you mentioned you would take a look at the end of the year and where they stood from a special -- when their special surveys are coming due and where the economics stood. We're pretty close to that point. So I'm just curious, one, if you can remind us, which asset that special survey is coming up, say, in the first half of the year? And then two, specifically, you mentioned selling -- if you were to sell those assets, first looking for an operating -- an operator to acquire them and/or potentially looking to scrap them, I would imagine that scrapping them would be a better alternative for the remainder of your fleet. How do you weigh that decision? 
Harry Vafias: Yes, you're right. First of all, we have 1 ship coming up for special survey in the first half of '15, the Gas Crystal, which is 1990 built, the oldest ship we have. She's going to be 25 years of age. So if we don't have a charter for her or we don't see the spot market picking up, she's going to be the first candidate to go for scrap. Trading buyers, as you can understand, is very difficult to find because the market for the older ships is soft, and two, there's no bank finance for older ships. So whoever wants to buy these ships has to pay cash, which is not the easiest thing to do when you have to pay $3 million, $4 million, $5 million. We have some of the ships up for sale. We haven't seen any interesting proposals. So if the time comes, the market is the same as it is now and the special survey is coming due, I guess the ship -- that particular ship will have to go for demolition. 
Operator: We will now take our next question from Josh Nahas from Foxhill. 
Joshua Nahas: I know that old ships keep coming up, but just wanted to ask a couple more questions on that and then I'll jump back in the queue. But the EBITDA sensitivity that you give, and I do appreciate now that you've broken out the additional detail on what the older ships are earning versus the newer ships, it's helpful. In the EBITDA scenarios on Slide 13, does that -- that TCE rate though, that's sort of an average across the fleet. So I wonder... 
Harry Vafias: Josh, sorry, just to interrupt you, there is a small detail in the bottom of the page. I don't know if you read it. If you have the slide in front of you, please look at the bottom of the page because it's exactly the answer to your question. 
Joshua Nahas: Okay, okay, for lower -- discount for lower utilization results [ph]. Okay. For the older ships, okay. So that's taken into account the older ships, okay. So that answers my question. 
Harry Vafias: Of course, we have not discounted them as much as we shown in this quarter because that was a particularly soft summer quarter. But yes, there is a discount, as you see, an increased idle time for the older ships. 
Joshua Nahas: Okay. And so I guess they're just above operating breakeven, so on a cash basis, they're losing -- they lost money in the quarter, I guess. 
Harry Vafias: You mean the older ships? 
Joshua Nahas: Yes, the older ships. 
Harry Vafias: Generally speaking, yes. In some specifications, no, because having no debt, some of them, means that their breakeven is much lower than the fleet breakeven. 
Joshua Nahas: Okay. And then in a broader question, with the older ships in terms of -- those are going to be harder, obviously, to time charter out ever. So those -- when the new -- when the VLGC order book really starts to hit, do you think that's going to impact the ability or the rates at which you could potentially time charter out even your newer ships? And that you might have to wait for -- to get a bunch of ships on to charter to get a good rate until after sort of the market absorbs some of that delivery hit? Or just in general, how you're positioning -- how you think you're going to be able to position yourself. I know that your size classes, not like the VLGC, but as we've seen in the other shipping classes, there seems to be a knockdown effect regardless of class to some extent. 
Harry Vafias: You are 100% correct. Our rates have no correlation with the VLGC rates. Thank god, I have to say, because despite the fact VLGCs today, as we all know, make a lot of money, if you look over the last 10 years, 7.5 of the 10 years that passed, VLGCs were losing money and we were making a lot of money. So there is no correlation. There is no knockdown effect. Our ships are especially designed to be 9.9 meters in length in order to go to the majority of the ports that have the 100 meter LOA restriction. For every VLGC that carries a big cargo, you need 7 to 9 of our ships to lighter it, so I guess it's good news for us. So our chartering strategy has nothing to do with what the VLGCs are doing. As you can see, the VLGCs are booming and our rates are below the midpoint, so there's no correlation. 
Joshua Nahas: All right. And I guess 1 final question, then I can jump in the queue. What do you think the impact is if there's a cold winter in the U.S. and that increases propane prices here and somewhat lessens the arbitrage that's being used for the VLGCs? And then also, any comments on what lower oil prices and the naphtha spread? Because there's different theories out there and I just wanted to get sort of your comments on that. 
Harry Vafias: For the first one, the impact is close to 0 because we don't do the long-haul voyages. So if there are less exports in the States, for us, it makes no difference. Our ships are in the hubs waiting for big ships to come. If the big ships don't come from the States, they have to come from somewhere else, from Russia, from Saudi Arabia, from Qatar, from anywhere else that is exporting LPG. So that affects the larger ships and not the smaller ships. For your second question, we believe that price of oil is -- the lower price of oil is a positive thing. When generally energy sources become cheaper, people are stocking up. You see demand increasing, you see the cost of voyage charters falling. So all these things, at least for us, are positive. 
Operator: We will now take our next question from George Berman from J.P. Turner & Co. 
George Berman: A couple questions. The decreasing value of the yen, does that help us? Number two, when you scrap or sell the older vessels, would you have a gain on the sale or a loss? 
Harry Vafias: Excellent questions, George. Very interesting questions. Yen, not really, because the majority of our contracts are U.S. dollars. So that's your first question. Second question, depends when we sell, of course, and at what price we sell. But because these ships have a 30-year life and we are scrapping them at 24 or 25, I guess it won't be profitable sales. 
Operator: [Operator Instructions] We will now take our next question from Keith Mori from Barclays. 
Keith Mori: Question for you around the market. Rates have stayed low now for pretty much 3, 4 quarters. How much lower do rates have to move before people really start to increase scrapping, maybe start to look at pushing out some deliveries into maybe 2016, 2017, reshuffling the order book here? 
Harry Vafias: Now I cannot answer that question because every company does their own math and have different balance sheets and they have different pressures from their lending banks. So I cannot basically answer that. But if the market falls another 5% to 10%, close to the all-time low, I guess a lot of companies that have higher breakevens will have a problem. So they will have to sell their older ships. They might have to lay up a couple of ships. They might have pressure from banks to get rid of some assets, even younger ones, to have some cash on their balance sheet. But it's a very theoretical reply because for every company, there's a different kind of equation. For us, as we discussed, if the market stays as is, we will be sending some ships for scrap or selling them in 2015. Unfortunately, Q4, until now and we are nearly, as I said, in the 1st of December, is not panning out like last year's Q4. Rates are softer and that's why we're happy, but we have so many ships on period at attractive rates because, otherwise, we will have even weaker results. 
Keith Mori: That's fair. I understand the question's a little bit more academic. I guess, the new ships that you're taking on, Harry, you're taking on 6 next year, I mean, if rates stay low at these levels, would you look at maybe contracting them a little bit shorter in tenure to kind of capture some of the more bull market you see in the outer years? Or how should we think about -- or how you're thinking about those new ships coming online and contracting? 
Harry Vafias: We have already fixed 3 of the year's -- sorry, 3 of the ships that come next year at quite good rates actually, so we're very happy about that. So referring to the last 3 ships, I would agree with you, yes. If we don't find good levels for longer charters, we'll have to take softer levels for shorter charters, obviously, yes. 
Keith Mori: Okay. And then I just want a last question here, on Slide 12, you walked through kind of the capital expenditure analysis. You said that 12 of the 16 ships have actually been levered here. Does that mean over the next 2 years we really should see minimal equity payments, given that the 4 ships, the 22,000 are the ones that are coming in 2017 and that's the debt that still needs to be raised here? 
Harry Vafias: If you exclude the equity payments for the 4 larger ships, then I would agree with you, we have close to 0, not 0, but close to 0 of equity payments. 
Keith Mori: Okay. And you have about $125 million in cash. I mean, you did allude to the fact that maybe you would look at putting together some new orders or pursuing some second hands, I guess. How much capital do you feel you need on the balance sheet to kind of run at? 
Harry Vafias: I said that we have the ability to buy ships if we want. But at the moment, as I discussed previously with your colleagues, it's better to do a share buyback at 50% discount whenever obviously. Being conservative, we always have -- by rule of thumb, you always have to have $1 million per ship cash. So let's say we have 60 ships, we have to have $60 million in cash. So basically, we have $60 million to play with. 
Operator: [Operator Instructions] As there are no further questions in the queue at this time, I would like to hand the call back to the host for any closing remarks. 
Harry Vafias: We would like to thank all of you for joining us at our conference call today and for your interest and trust in our company. We look forward to having you with us again at our next conference call for the fourth quarter results in February. Thank you very much.